Operator: Thank you for joining us for the V2X Third Quarter 2025 Earnings Conference Call and Webcast. Today's call is being recorded. My name is Steve, and I'll be the operator for today's call. [Operator Instructions] And now I'll pass the call over to your host, Mike Smith, Vice President of Treasury, Investor Relations and Corporate Development at V2X.
Michael Smith: Thank you. Good afternoon, everyone. Welcome to the V2X Third Quarter 2025 Earnings Conference Call. Joining us today are Jeremy Wensinger, President and Chief Executive Officer; and Shawn Mural, Senior Vice President and Chief Financial Officer. Slides for today's presentation are available on the Investor Relations section of our website, gov2x.com. Please turn to Slide 2. During today's presentation, management will be making forward-looking statements pursuant to the safe harbor provisions of the federal securities laws. Please review our safe harbor statements in our press release and presentation materials for a description of some of the factors that may cause actual results to differ materially from the results contemplated by these forward-looking statements. The company assumes no obligation to update its forward-looking statements. In addition, in today's remarks, we will refer to certain non-GAAP financial measures because management believes such measures are useful to investors. You can find a reconciliation of these measures to the most comparable measure calculated and presented in accordance with GAAP on our slide presentation and in our earnings release filed with the SEC, both of which are available on the Investor Relations section of our website. At this time, I would like to turn the call over to Jeremy.
Jeremy Wensinger: Thank you, Mike, and good afternoon, everyone. Thank you for joining us today. I am proud to share the results from this quarter. The dedication of our team continues to drive outstanding execution. Please turn to Slide 3. During today's call, I'm going to recap our third quarter results, discuss our positioning and how our strategic execution has created tailwinds for growth. Let's start with our quarter 3 results. Performance was strong, yielding both record revenue and adjusted EPS in the third quarter. Revenue increased 8% year-over-year to $1.17 billion, delivering adjusted EPS of $1.37. Adjusted EBITDA was $85 million in the quarter or 7.3% margin. Importantly, to date, we have not seen a material impact on our business from the current government shutdown. And if anything, this event has reinforced just how essential our services are to the government. Last quarter, Shawn and I described our capital allocation strategy to you. Since then, we've been executing on this strategy. During the quarter, we completed an acquisition that brings new capabilities and increases access to customers in the intelligence community. This customer access cannot be understated, and we believe it will add to our already robust pipeline. Additionally, we repurchased $10 million worth of shares in the quarter, further driving value for our shareholders. Our strategic execution is paying off. This quarter, we delivered a solid 1.2x book-to-bill ratio, which speaks to the strong demand we are seeing. We also recently achieved 2 of the 5 major captures we've been pursuing that I discussed in prior calls. This includes the T-6 and F-16 Iraq program, each worth over $1 billion demonstrates the momentum we are building. We remain optimistic about what's ahead. Given our performance to date and the trends in our business, we're increasing the midpoint of our revenue, adjusted EBITDA and adjusted EPS ranges. Although we have not seen a material impact from the government shutdown, we are proactively lowering the midpoint of our cash flow guidance to account for possible temporary delays in collections. I want to emphasize, this is only a timing related and not reflective of the underlying changes in our business. Please turn to Slide 4. Our customers are seeing differentiation in our solutions and offerings and the programs on this slide showcase those examples. From start to finish, we work alongside our customers, delivering a full spectrum of capabilities that maintain readiness around the globe. In the last 18 months, we've won 3 strategic awards greater than $1 billion using the breadth of the company and execution. The cumulative value of these awards exceeded $9 billion. An example is the previously announced T-6 award. This is a cornerstone award and critical to the readiness by ensuring that every single Navy, Air Force and Army pilot will be trained by V2X. This ties into the theme you're seeing in the training, mission support and modernization that are foundational to everything we provide. While this award is under protest, we're confident in our solution and continue to execute the transition activities to support our customer. We've been awarded what we expect to be a $1 billion foreign military sales for the Iraq's F-16 program. This, coupled with our $425 million cockpit modernization contract with the U.S. Air Force showcases our expertise in supporting the F-16 fleet for multiple customers. And finally, we were awarded approximately $275 million for rapid prototyping, engineering, integration and follow-on support for platforms like Tempest, our counter-UAS solution and our Gateway Mission Router family of systems. There's a strong demand for our technology, and I'll touch on that later. These awards are validation of our partnership with our customers and disciplined execution of our strategy. Please turn to Slide 5. V2X is capitalizing on large and growing market opportunities while investing in technologies that will shape our future and our industry. We see data and AI as a powerful tools that can deliver mission success. These tools help us enhance readiness, drive efficiencies and even change the way the marketplace operates. Combined with our operational experience and close relationships with our customers, we are in a strong position to turn data into real decision advantages. On the readiness front, we continue to expand our training portfolio and a good example is that of our support of the Army's Saber Junction training exercise in Germany, which simulated chemical attacks. This demonstrates how the scope of our training portfolio continues to expand. Additionally, our focus areas on readiness and modernization continue to align with our customers' mission and budgetary priorities. Our counter-UAS platform has demonstrated our capabilities to deliver rapid prototyping and hardware integration to support customers. In the near future, we are expecting orders from new customers looking to deploy the platforms in various theaters around the globe. We are now leveraging the core capabilities of that system to adapt it for use across other operational environments and emerging threat landscapes, positioning us for continued growth. With the combination of our investments in technology, our ability to convert opportunities into success and our over $50 billion pipeline, our path forward looks strong. With that, I'll turn the call over to Shawn for a review of our financials. Thank
Shawn Mural: you, Jeremy, and good afternoon, everyone. Please turn to Slide 6. Our momentum continued in the third quarter, reflecting focus on operational performance. Revenue in the third quarter increased 8% to $1,167 million. Growth was fueled by the WTRS, F-5 and Iraq F-16 programs. Adjusted EBITDA in the quarter was $85.2 million, delivering a margin of 7.3%. Interest expense in the third quarter was $20 million. Cash interest expense was $18.4 million, improving $7.2 million year-over-year. Net income for the quarter was $24.6 million. Adjusted net income was $43.7 million, up 6% year-over-year. Third quarter diluted EPS was $0.77 based on 31.9 million weighted average shares. Adjusted diluted EPS in the quarter increased approximately 6% to $1.37 from the prior year. Adjusted operating cash flow in the quarter was $35.8 million. We are leveraging our strong balance sheet. And during Q3, we made notable progress executing our capital allocation strategy. As Jeremy mentioned, we completed a small acquisition that provides additional market opportunity and repurchased $10 million worth of shares. These activities clearly demonstrate our focus on delivering value for our shareholders. Please turn to Slide 7, where I'll discuss our year-to-date results. Year-to-date revenue was $3,261 million, up 3% year-over-year. Adjusted EBITDA increased 5% for the first 9 months of the year to $234.6 million, reflecting a 10 basis point increase in margin to 7.2%. Year-to-date interest expense was $60.3 million. Cash interest expense was $55.7 million, improving approximately $22 million compared to the prior year period. Year-to-date net income was $55.1 million. Adjusted net income was $117.5 million, increasing 22% year-over-year. Diluted EPS in the first 9 months was $1.73. Adjusted diluted EPS was $3.68, up 22% compared to last year. Year-to-date net cash used by operating activities was $27.5 million. Adjusted net cash used by operating activities was $24.1 million. Please turn to Slide 8. Our strategy and the continued demand for our solutions is yielding awards that support future growth and value creation. This was reflected in third quarter net bookings of $1.4 billion and sequential backlog growth of approximately $240 million. Total backlog at the end of the third quarter was $11.6 billion. Funded backlog was $2.3 billion. With respect to the current government shutdown, the impact on the funding or operations of the current contracts has been modest to date. We feel it important to note that backlog does not include the approximate $4 billion T-6 award as it is currently under protest. We continue to execute the transition activities supporting the customer at this time. Additionally, as it relates to the F-16 Iraq program, backlog does not reflect any value beyond the transition amount initially awarded in Q2 of this year. The contract is currently being definitized and we [Audio Gap] these programs will add substantially to our backlog and ability to continue our growth. Book-to-bill ratio for the trailing 12 months was 0.9x. Looking ahead, based on potential slippage of awards to the shutdown, we believe book-to-bill will be below 1 for the full year and accelerate to above 1 in fiscal year 2026. With that said, I want to be clear that we believe the company is in an excellent position to demonstrate top-line growth heading into 2026. Let's move to Slide 9 for our updated guidance. We continue our focus on execution. And given our solid performance, we are increasing the midpoint of our 2025 guidance for revenue, adjusted EBITDA and adjusted EPS to $4.5 billion, $316 million and $4.95, respectively. We're proactively lowering the midpoint of our adjusted operating cash flow guidance to account for potential timing delays and collections related to the government shutdown. These adjustments reflect potential near-term payments or contract actions that we had contemplated being completed by year-end 2025, which may now slip into 2026. Again, this is purely a timing adjustment and doesn't reflect any changes to the fundamentals of the business. Overall, we're very pleased with the execution of our strategic priorities, ability to deliver differentiated technology solutions and strong program performance. We are confident in a strong close to 2025 and continued momentum into 2026. Jeremy, back to you.
Jeremy Wensinger: Thanks, Shawn. Please turn to Slide 10. We want to provide some additional color about 2026. With solid awards secured and minimal recompete exposure, we're confident of our future growth. In addition to our continued success in training programs like the WTRS, recent wins like our rapid prototyping awards and the Iraq F-16 program support top line growth next year. The completion of contingency task orders is partially offsetting this growth. Overall, the net of these items are expected to drive year-over-year revenue growth in 2026. A successful outcome of the T-6 protest would have incremental improvements in 2026. While we're keeping an eye on potential impacts from the ongoing government shutdown, our essential mission-critical work gives us confidence in the strength of demand. The maturity of the company is becoming increasingly apparent in our ability to capture and win new business. We continue to deliver on our commitments. We are proud of our third quarter performance. Our teams continue to bring the full spectrum of V2X to meet our customers' critical mission requirements. And with that, I'd like to open the call to questions. Operator?
Operator: [Operator Instructions] The first question comes from Peter Arment with Baird.
Peter Arment: Nice results. Shawn, could you just give us a little more color on the reduction in the cash? You said it's sort of being more cautious just given the government environment. But if the government reopens here relatively soon, does that change? Or how are we approaching that?
Shawn Mural: Yes. Thank you. Good to hear from you, Peter. Yes. So in our guide, we've assumed that there are certain contract actions, and this is a normal course of the business, Peter, that we get change orders, things of that nature that routinely happen. They may not occur even if the government were to open tomorrow, the backlog of things and what we're seeing a little bit, Peter, is while we're still getting paid, that payment has been elongated a bit, on average, about 7 days difference between what we experienced in the first half of the year and what we're experiencing today. And so the adjudication of those contract items and then the ability to get paid, we felt it appropriate to bring down the midpoint about $25 million. Again, purely timing. We have -- we don't think there's risk to the receipts or anything like that. It's whether or not they slip into 2026. That's how we're thinking about it.
Peter Arment: Got it. I appreciate that. And then just, Jeremy, you've talked a little bit about this year about just a much bigger qualified pipeline and ability to bid more. Maybe you could just give us a little more color on how you're doing and making progress there.
Jeremy Wensinger: Well, I think I've talked in the past that we hired Roger Mason as the Chief Growth Officer. I think -- and I mentioned in the script that we're seeing the maturity of the company come to bear. And I feel really good about the fact that we've retired 2 of the 5 major pursuits that we had talked about previously as success. And again, we'll see where T-6 kind of rolls out. But again, I think the maturity of the company, along with the maturity in the growth organization is starting to come to bear on our ability to win, our ability to build a pipeline and our ability to pursue a multitude of things. I'm most excited about the fact the bids I'm seeing are bringing the entire company to bear on these pursuits. It is really making a difference, and that's the part I'm most excited about.
Operator: The next question comes from Jon Siegmann with Stifel.
Jonathan Siegmann: Just real quickly, a simple one for you. So you're very clear that you did not include T-6 award in the backlog. But just because there is some companies in the public arena that do include protested contracts in the backlog, I just wanted to confirm this is your standard practice and not an indication of any higher risk associated with this decision.
Shawn Mural: Yes, absolutely. It's our policy that we have. Anything in protest, we would not take a booking on. There is a modest amount of work that we are doing today, to be very clear, on transition. We did book that, but it's low single-digit millions. The main award should it stick to the schedule that it was awarded under would have us begin work in February of 2026 and then go on for the period of 10 years. None of that work is in backlog, and that's our standard practice, Jon.
Jeremy Wensinger: And John, just to be clear, that modest transition that we're doing was funded.
Shawn Mural: Yes.
Jonathan Siegmann: That's real helpful. And then the other 3 of the 5 contracts that you're elephant hunting there, is there any sense of when the timing of those could be? Is that probably all delayed with government shutdown as well?
Jeremy Wensinger: It's a great question. I think it's still TBD and -- but we're actively bidding a few of those. So we'll see what transpires with the government shutdown and the timing of awards. But again, it's all a little bit of TBD at this point to see because, again, a lot of our contracting officers are not at work. Things are kind of, as Shawn said, in terms of the cash side of it, waiting for them to do the adjudication of contract modifications. So I think it's an unknown at this point. But again, I think it will -- once we have certainty around the standup of the government again, we'll know more because they'll be back to work and we can ask those questions.
Operator: The next question comes from Andre Madrid with BTIG.
Andre Madrid: Not to harp on the shutdown, but it is the elephant in the room here. I mean, how should we think about this weighing on the potential benefit of your previously disclosed recompete holiday? Does this kind of just get pushed out into '26, like what you guys teased on the 10 slide there?
Shawn Mural: Well, yes, candidly, that's a lot of why we wanted to talk a little bit and give some color around '26. So I think we say, right, 7% recompetes next year. As we sit here today, one, that's a great spot to be in, of course. We'll see how those recompetes play out. I mean there's always the opportunity to do a bridge or exercise an extension or something, I don't know. But again, I think we feel good in terms of where we sit today, what we have in backlog and our ability to continue to grow.
Andre Madrid: Got it. Got it. And I guess on that point, looking at '26, I feel like each quarter, it looks like growth could be kind of lumpy based on the service branch based on the geography. But I guess, as we look ahead into the new year, what do you really expect to be the fastest-growing branches and geographies and...
Shawn Mural: Well, I think -- so a couple of things. Thanks for the question. I'll give a little bit of color. I think we'll see cost type revenue grow faster, I should say. And when we think about things, we see that becoming a greater percentage of the portfolio. I think we see from a region standpoint, the U.S. growing faster than some other areas. And that's, again, things like we've seen WTRS, things of that nature. So that's a little bit of additional color as we sit here today. There's a lot to go relative to funding, right? So again, we're trying to provide a little bit of color and context for '26. Funding, as you can imagine, in light of the shutdown is a significant variable, right? And we're seeing customers make changes and stuff like that to do as much as they possibly can. So I am certain that, obviously, we will provide additional clarity and visibility to you as we report Q4, but felt it very important because we're seeing good demand. I think you saw a very good book-to-bill in the quarter. That had been a question previously. And so I wanted to highlight a couple of those things. So hopefully, that gives you a little bit more color.
Operator: The next question comes from Ken Herbert with RBC Capital Markets.
Kenneth Herbert: When we look at the strong growth in the third quarter, you called out specifically F-16, F-5 and WTRS driving the 8% growth. Is it possible to parse that out a bit? And were any of those maybe a little better than expected or better performance on contracts in the quarter?
Shawn Mural: Not really. I think things are playing out kind of as we expected. We did get some modest material that had previously been planned to come in, in Q3 came in, but it wasn't really significant, to be honest with you, Ken. I think we're, again, happy with where we sit. We see sequential growth continuing as we go into Q4. And obviously, you saw us bring up the low end of the range as a result of that. Still some variables out there, of course. But yes, I think, again, the strength of those 3 programs continues, and we expect that trajectory to continue into Q4.
Jeremy Wensinger: Yes. And Ken, I would just add, I think Shawn has been very clear all year long. The second half of the year was going to be the opportunity for us based on program execution on F-5 and on the WTRS program. So again, I don't think anything we saw in the quarter was really unexpected. Program team is executing the way they should execute. They're doing great, and we're just bringing these programs online.
Kenneth Herbert: That's great. And as we look at the revised guide, it implies a bit of a sequential step down in margins into the fourth quarter. Is that maybe just conservatism? Or is there anything else we should keep in mind on that?
Shawn Mural: There's always some timing of expenses. And so we have some incremental expense in Q4. By the way, not -- again, not unanticipated per se. The teams have done a wonderful job of risk mitigation. You've heard us talk about that earlier in the year, specifically the first half. So nothing, I'd say, terribly significant, to be honest with you, Ken. It's how we see things playing out. We're happy with raising the midpoint of the guide, call it, $3.5 million, $4 million at the midpoint from where we were before and about 10 basis points in incremental margin. So again, from the prior midpoints that we have established. So mostly timing of expenses is the way that I'd frame it up.
Kenneth Herbert: That's great. Nice results, you guys.
Operator: The next question comes from Tobey Sommer with Truist.
Tobey Sommer: What does the opportunity look like for sales ongoing and new sales outside the U.S., maybe just to push it outside the constraints of a shutdown?
Jeremy Wensinger: Well, I think the one we announced on the F-16 with Iraq is an emerging opportunity for us on the FMS side. I think that is an opportunity that customers see what we're doing for our primary set of customers and those country customers are really saying, "Hey, I want that kind of support and I need that kind of modernization." So that part has been an opportunity for us to look at how do we take what we do for the U.S. government and take it to these other countries that are -- need our support and are allies of the U.S. So I think outside the country, that's a channel for us. But inside the country, it has been really the modernization side of it, along with the work that we're doing in the aero business.
Tobey Sommer: If we fast forward 2 or 3 years from now, do you think you'll be -- you'll have a wider array of foreign military sales contracts that you'll be working on?
Jeremy Wensinger: It's -- the foreign military sales take a lot of dwell time. So it's hard for me to tell you exactly what that would look like 3 years from now. We've been working the F-16 FMS deal for quite a while. So again, it's hard for me to say when a country will decide and what's the timing of that. But again, what I like is I like the demand pull. I guess that's where I would put it. They were looking at what we were doing for the U.S. government said, I want that. We are in region, and that's one of the things we talk about all the time. Being in region creates demand pull for us. So having logistics and everything in that region gives them the easy button to pull us through. So again, it's hard for me to look 3 years out and say what that looks like. All I can tell you is being shoulder to shoulder with our customer in region and our allies seeing that support has created some demand pull that I'm very happy with.
Shawn Mural: I think a great example of that to amplify it is our Tempest product, right, that was highlighted at the recent AUSA. When we think about global demand for a product like that, that has applications around the globe and the team is sensing some strong demand pull. Jeremy mentioned it, I think, in his prepared remarks. So could those things go FMS? Could they go DCS? I don't know. We'll see. It's an emerging market for us. We're really happy with the rapid prototyping and our ability to deliver that capability in a very short period of time, and it's getting some good traction from customers.
Tobey Sommer: Appreciate it. And then with respect to the timing of payments and the elongation of DSO, is that a widespread phenomenon with the shutdown? Or is it a, a discrete impact of some payment offices that just happen to be to matter for the company?
Shawn Mural: Yes. It's interesting. There's a payment -- as I think I said earlier when Peter asked, there was a -- we're seeing payments take longer, roughly 7 days than what we saw earlier in the year. The knock down a bit here is there are sometimes contract actions that we need to be adjudicated, to get funding moved around whatever to the appropriate claims, things of this nature. That's kind of the -- this is the secondary effect of the inability to have those things occur today. So will they be done by the end of the year? Potentially. There's -- we don't see risk to them in aggregate, obviously. This is, like I said, purely timing in terms of the ability for if it's funding on a certain clin, for example, Tobey, to be moved, not issued, then issue the invoice and then pay in what are now elongated terms from what we've experienced previously. It's nothing more than that, if that helps give some color.
Tobey Sommer: It does.
Operator: Next question comes from Joe Gomes with NOBLE Capital.
Joseph Gomes: Congrats on the quarter. I was wondering, maybe you can give us a little update on the efforts in the INDOPACOM and how that transpired in the third quarter and what you're seeing here for the fourth quarter?
Jeremy Wensinger: I mean we continue to be very confident in our position in INDOPACOM. I mean, obviously, with being present in the region has given us an opportunity to participate with the customer, both directly and indirectly. So again, I think INDOPACOM is going to be and has been an emerging market for -- even think what Shawn just mentioned about the Tempest unit. I think there is an opportunity for us to continue to expand our presence in that region. A little disappointed that some of the training activities were a little less than what we anticipated for the year. But I think overall, I think the positioning is something that we're exceptionally proud of and look forward to a long relationship with that customer in that region.
Joseph Gomes: Okay. Great. And then just don't want to beat a dead horse, but -- and I know it's difficult to answer completely here, but we've talked about the government shutdown, things getting pushed out. On the T-6 with under protest, I mean, how far can we get that pushed out where maybe that February, end of February expected start date gets pushed out significantly as opposed to maybe with some of the other things here we're talking about that might turn faster. I don't know if you got any sense of that? Or can you give any more color or detail on that?
Jeremy Wensinger: Yes. That one is a hard one. Obviously, as you know, that's in the court of federal claims. So it's a hard one to predict. the exact timing on it. We continue to monitor it, and I know they're making progress. But again, that's going to be a hard one for us to predict if that will or will not slide.
Shawn Mural: I think, Joe, that's a little bit why, again, the materials that Jeremy walked through at the conclusion of the prepared remarks, we wanted to give color around we're treating T-6 as kind of a binary event for '26 for exactly the reasons that Jeremy mentioned, and we're going to grow. Again, we're not issuing guidance for '26. But because of the nature of how that could play out, if it stays according to schedule, fantastic. If it slips, we'll see irrespective, this company is going to grow and continue to do that, like I said, in 2026.
Operator: The next question comes from Trevor Walsh with Citizens JMP.
Trevor Walsh: On the Tempest piece, really impressive just to see or understand the time to development to getting that system fielded. Just more broadly, I guess, within counter-UAS or even just training support around UAS generally, what things or opportunities might be out there that we're not necessarily thinking about? That Tempest just seem to come along very, very fast and ferocious. So what kind of things might there be within the realm of unmanned systems that we could be thinking about for you guys?
Jeremy Wensinger: I think Tempest is a good example of what this evolving landscape of threat is showing us as a country. But I'll highlight something that we've talked about before. On the unmanned system side, when you think about an unmanned aerial vehicle, it has an airframe. It has many of the same characteristics that we support today on -- with the MRO front. And I look at modernization and upgrades and our ability to support those aircraft no differently than I do what we're doing on an F-16 or C-130. So when I think about the emerging market on UAVs, it can be what we're doing today with Tempest or it can go extend all the way down to flight line support, all the way down to modernization and upgrades of those aircraft. So I think it's an opportunity for us. I think we've shown that as an opportunity with Tempest, and I think we'll continue to demonstrate our toehold in the UAS market.
Shawn Mural: The underlying capability is the engineering prowess and capability that the corporation has to move with speed and agility and deliver that rapid prototyping. That's what you saw. It has a variety of applications, as Jeremy just walked through. And so we're continuing to add to that capability set across the organization with delivering technology, infusing it into a variety of platforms and ways that, again, Jeremy mentioned.
Trevor Walsh: Great. Maybe just one quick one or one last one. With respect to the acquisition that you closed, I understand it's probably kind of smaller in terms of kind of material contribution to '25. But can you maybe tell us about how the '26 pipeline or even beyond associated kind of with the opening up of that customer around that acquisition, if that's reflected in, I think, the $50 billion or so pipeline that you threw out there today in the slides? Or is there -- I guess, how much kind of ramp is required to sort of get that really going from kind of the broader opportunity that's kind of offered there?
Jeremy Wensinger: Yes. No, thank you. It's a good question. It is not in the pipeline. We're just working our way through integration now. But again, there is nothing different on -- I've come from that side of the world. There is nothing different on that side of the world that isn't being done at V2X today. We just did not have access from a customer standpoint to demonstrate that capability to them. So this is more about customer access and not size. The size of the acquisition was modest, but to be able to get back to that customer set and be able to show them the things that we do as a core company and give them the confidence and the access to our talent was 100% why we did that deal.
Operator: The next question comes from Mariana Perez with Bank of America. The current line has been disconnected. We'll move on to the next question. It's from the line of Kristine Liwag with Morgan Stanley.
Kristine Liwag: Jeremy, you called out funding as the uncertainty with the government shutdown. And when you look at the strong book-to-bill of 1.2x in the quarter, was that a pull forward of contract awards for the customers anticipating this funding uncertainty and try to get those awards out the door?
Jeremy Wensinger: I don't -- it was mostly just normal timing. I mean I didn't see anybody move anything around. Even -- I think we talked about in the past, even with some of the initiatives the government had in the first half of the year, we've seen awards basically occur on schedule. And so these were not unexpected. They weren't moved forward. They were all awards that we expected to happen. What I don't know is in quarter 4, whether the items that we thought were going to be adjudicated because there's no contracting officers around to do it, whether those will happen or not. So I feel confident about what we have in terms of our bid velocity. I feel confident about what the bids we've submitted. They just -- I just don't know whether they're going to get adjudicated with the government shutdown.
Kristine Liwag: I see. And look, if I could squeeze a second question. The U.S. decision to withdraw some troops out of Romania was a surprise to many. So I was wondering, was that a surprise to you? Or was that anticipated? I know you don't have direct revenue from that specific base. But when you look at regional priorities, I mean, how do you think about potential incremental headwinds from Europe? And how does that balance with the stronger demand signals from INDOPACOM?
Jeremy Wensinger: I think the work we do in Romania is an extremely important part of our, what I should say, defense strategy. And so we were not affected by that, and I cannot believe that, that would -- that work we're doing would go away anytime soon. It is extremely important and in terms of defense. So that's all I'm going to say. But it is -- the Aegis Ashore program is a very important program, and I don't see a strategic move off that unless there's a policy change in the government.
Operator: The next question comes from Noah Poponak with Goldman Sachs.
Noah Poponak: If I take the updated full year revenue guidance with just the last quarter of the year remaining, it implies -- the range implies 4Q either flat all the way up to up 7% at the high end. Can you -- is that just government shutdown related at the low end? Or are there other pieces that would move you around within that range?
Shawn Mural: Yes. No, great question. So as you can imagine, funding is a dynamic situation, and we've got a wonderful cadence within the organization that looks at a typical contracts waterfall based on how funding may change or not. To date, we've had very modest impact, as I think we said in the prepared remarks. But if I look out through the end of the quarter, there could be more impacts in terms of reductions on current contracts we have. And hence, kind of the range of the guide, nothing more than that. We wanted to make sure that we took that into account because it's a variable. The teams are like I said, all over it. And to date, we have seen customers move funding to ensure that capability persists and remains. I think that speaks to the underlying critical nature of how our customers look at the services we provide. So that -- hence, the basis for the distribution on the range.
Noah Poponak: Okay. And Shawn, I guess, if I kind of look at the progression through the year, close to flat in the first half. Now you have this up 8% midpoint of the range for 4Q, up mid-single. You guys had talked about needing WTRS to ramp to get to that higher growth rate in the back half. As we -- as I keep flowing through the model into 2026 with WTRS continuing to ramp, easy compares in the first half, I guess why wouldn't -- is it reasonable to think of '26 is looking like the exit rate of '25 in terms of top line growth? Or is it more complicated than that?
Shawn Mural: Yes. There's a couple of things. I'll give a little bit of color, like I said, we wanted to make sure we talked about '26 because it's top of mind for obviously, everyone. So when I think about it, WTRS will continue to ramp next year, the F-16 Iraq award will ramp next year from an incremental standpoint. There is the contingency support activities, specifically in the Middle East that have largely ramped down throughout 2025. We've seen that. That will present rather a headwind going into kind of the first 3 quarters, if you will, of 2026. So I won't talk numbers specifically because funding is so variable right now, to be honest with you. But yes, WTRS and F-16 Iraq should continue to ramp at the exit rate that they conclude at in '26.
Noah Poponak: Okay. That's really helpful. On margins, should we think of V2X as a multiyear margin expansion opportunity? Or should we think of it as top-line growth and hold the margins and convert it to cash flow?
Shawn Mural: Listen, I think over time, we certainly see margin expansion opportunities. I mean that's the nature of what we're here to help generate and our program teams do it consistently. We're burning through what's in the backlog as you would expect. As new programs have come on, they -- and I've said this before, I think they typically start lower and then they ramp and improve sequentially. The great news in some of the awards that we have today is that these are long-term franchise programs when you think 5-plus years in just between WTRS, F-16 Iraq and then depending on what happens with T-6, that's up to a 10-year program. So good stability there, opportunity to go work margin expansion here, but it is -- I think you're thinking about it exactly right. It's a multiyear.
Noah Poponak: Okay. Last one for me. If you do, in fact, have the $20 million to $30 million of cash flow slide from payment timing given the shutdown, should we then think of '26 as your normal 100% conversion from the adjusted net income to free cash flow plus getting that $20 million to $30 million back? Or is it the type of thing that kind of ends up being recaptured over a longer window of time and you never really quite see it in a shorter window of conversion?
Shawn Mural: No, we're thinking of '26 exactly as you are as I sit here today. It's dependent on the revenue, of course, right? So as long as the revenue holds to, like I said, kind of the midpoint of the guide, then it would purely be a function of timing, and we wouldn't have -- we would be incremental and at or above 100% in '26. That's exactly the way to think about it.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Jeremy Wensinger for any closing remarks.
Jeremy Wensinger: Thank you so much for the time today. I appreciate everyone taking the opportunity to share with us our quarter results. And again, just much appreciated for everything that you guys are doing in terms of showing interest in V2X. So thank you, and have a great day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect. Thank you.